Operator: Welcome to the TC Transcontinental Fourth Quarter and Full Fiscal Year 2019 Results Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session and instructions will be provided at that time. As a reminder, this conference is being recorded today, December 12, 2019. I would like to turn the conference over to Yan Lapointe, Director, Investor Relations. Mr. Lapointe, please go ahead.
Yan Lapointe: Thank you, Gabriel, and good afternoon, everyone. Welcome to TC Transcontinental's 2019 Fourth Quarter Results Conference Call. The press release and the MD&A with complete financial statements and related notes were issued earlier today and are available on our website at tc.tc. With us today are TC Transcontinental's President and Chief Executive Officer, Francois Olivier; and Chief Financial Officer, Donald LeCavalier.  Before I turn the call over to management, I would like to specify that this conference call is intended for the financial community. Media are in listen-only mode and should contact Nathalie St-Jean, Senior Advisor, Corporate Communications, for more information or interview requests. I would also add that you have the financial statements on the website. Please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. Please refer to the MD&A for a complete definition and reconciliation of such measures to IFRS financial measures. In addition, this conference call might contain forward-looking statements. These statements are based on the current expectations of management and information available as of today and they involve numerous risks and uncertainties, known and unknown. The risks, uncertainties and other factors that could influence actual results are described in the 2019 annual MD&A and latest Annual Information Form that we filed today. I would now like to turn the call over to Francois Olivier.
Francois Olivier: Thank you, Yan, and good afternoon, everyone. Looking at the results, we finished the year strong in packaging. 2019 was marked by the successful integration of Coveris, a turning point in our transformation. In only two years we grew our revenues by 50% and reached more than CAD3 billion in 2019, a first in our company's history. We also reported a record adjusted EBITDA of CAD476 million this year. We executed on our growth strategy and carefully managed risk. I'm very pleased with our company's evolution, which position us to create long term value.  In addition to our financial performance, we have done significant progress this year, further aligning corporate social responsibility in our strategic planning. Sustainability is more important than ever before, and our investment in research and development will become a key competitive advantage for years to come.  I strongly believe that sustainability requires a balanced integration of social, environmental, and economic factors. This is one of the reasons why we are very disappointed with the recent recommendations made by a Commission of the City of Montreal regarding flyer distribution control and Montreal. The Commission disregards social and economical factors in their recommendations and did not consider all the relevant facts, from an environmental standpoint. We are recognized across our industry for our leadership in corporate social responsibility. And what we have done to improve the environmental footprint of the Publisac sector is a good example of that.  As mentioned in the past, no trees are cut to produce flyers and 86% of the paper used is recycled. In addition we want to be a leader in the creation of a circular economy for plastic in the Publisac part of the solution. Our new Publisac bags are made 100% from recycled plastic, and we are decreasing the use of plastic by 30%, namely by reducing their size. Publisac is a useful, responsible and legitimate service that is very appreciated by our customers.  The recommendation made by the Commission, are political insensitive, illogical and simply unworkable. We are convinced that the city could not put forward a valid regulation [ph] that would stand in a court of law. This is why no other city has implemented such event anywhere else. That being said, we can work with the City of Montreal to improve the current distribution system, and I believe we could find a solution together. But let's be clear, we will stand by our customers and protect our services. We are not a rigid [ph] company but -- as we are doing with the City of Mirabel, we will defend our rights and we are very confident about a positive outcome.  As I mentioned earlier, our sustainability approach will give us a key competitive advantage. It is important to understand that flexible packaging plays an essential role in protecting products and extend the shelf life, which is one of the best solution to reduce food waste globally and therefore improving carbon footprint. To effectively manage plastic packaging in its end of life, we continue to invest in R&D to differentiate our products through technology. An important part of our sustainability strategy is to work in partnership with others to create a circular economy for plastic as we have done in the past for a circular economy for paper. We intend to be more actively involved in the coming year. To that effect in March, we became the first Canadian based manufacturer to sign the Ellen MacArthur Foundation New Plastics Economy Global Commitment. We have pledged that a 100% of our plastic packaging will be reusable, recyclable or compostable by 2025 and that we will achieve a 10% use of post-consumer recycled content.  These targets are included in our new three year Corporate Social Responsibility plan titled, Acting Together, released this summer. In line with these objectives we launched vieVERTe, our sustainable product portfolio, which include awards winning proprietary structures that are engineered to provide end of life solution for flexible packaging. This is important as our customers need us to provide sustainable solutions, and we want to be a leader on that front.  Let's now review the operations. In the packaging sector, fourth quarter revenues were higher than expected, due to a strong performance from our meat and cheese and coating [ph] segments. As expected, we witnessed a volume reduction in our consumer in pet food in our Latin America segments, as we have mentioned on our last call. In both cases these impacts are temporary, and we expect to see growth in 2020.  By exceeding our synergies targets in fiscal 2019 and gaining efficiency, we delivered improved margins quarter after quarter from 11.7% in Q1 to 13.8% this quarter, and finished the year with an adjusted EBITDA margin of 12.8%. We expect our profitability to continue improving over next year's.  In fiscal 2019 the packaging sector accounted for 53% of our consolidated revenues and 42% of our adjusted EBITDA. More than five years after our first acquisition in flexible packaging and the beginning of our transformation journey, I am proud of the packaging business we have built. But this is only the beginning. Our portfolio will continue to evolve as we continue to grow in markets, where we have a strong competitive advantage.  Regarding the sales of our paper operations to Hood Packaging, which is expected to close in January, after operating the paper business for a 1.5 year, we conclude that paper was less core to our packaging sector's growth strategy, and we made the decision to sell the assets. This decision is aligned with our plan to continue building our flexible packaging platform where we see good growth potential.  It will give us the flexibility to continue acquiring businesses that are more complementary to our existing flexible packaging portfolio. I want to sincerely thank all the talented employees who will transfer to Hood Packaging for their contribution and commitment.  While acquisition should be an important growth driver in the coming years, we also expect to see organic growth from our existing portfolio of products. We have built a very solid R&D focused team focused on identifying and meeting customer needs. With our talented R&D engineers, our state of the art labs and our extrusion equipment we have best-in-class innovation processes and capabilities. We will continue to innovate to ensure we remain ahead of the industry, I am very confident about the outlook of our packaging business as we -- as a significant engine for future growth. In the printing sector in Q4 we started to see some positive impact of the measures we took to partially offset the effect of lower revenues observed this year. We completed the transfer of two state-of-the-art presses from our former plant in California to Montreal in Toronto. Both presses will be running at full capacity in early 2020. In addition, we will complete the closure of our Brampton facility later this month, and that of our P.E.I. facility by the end of January 2020. We will also implement new measures to streamline our indirect costs as we optimize our footprint.  We are committed to remain proactive in managing our cost structure in order to protect our profitability. In our retailer-related services, as we mentioned, on our last call, we saw a lower decline in the number of pages printed in the fourth quarter compared with previous quarters. Based on the feedback from retailers and end consumers I am convinced that flyers remain a relevant and effective marketing tool to bring people to stores and help Canadians save money.  While we expect the market to continue to be affected by the same trends we witnessed in the last quarters, we have seen strong growth in book and store marketing in the pre-media vertical in 2019. We expect to capitalize on this growth by investing both organically and through acquisitions in these markets. The recent acquisition of Holland & Crosby fits perfectly with our strategy. And I'm excited about the combination of our businesses, and our long term outlook for in store marketing.  Now for our media activities, once again, we are pleased with our results for the quarter. While the fourth quarter numbers were impacted by the sales of our specialty media assets, our education group drove high revenue growth and delivered strong EBITDA performance in 2019. In conclusion, I'm very pleased with what we have accomplished in 2019, especially as it relates to our overall portfolio of activities. We have acquired Trilex in packaging and Holland & Crosby in printing. While small, these two businesses are aligned with our strategy of developing our growth markets. We also announced the sale of our specialty assets in media, our paper operations and packaging, and the Fremont building in printing. These portfolio shaping transactions are aligned with our transformation. And I'm confident that they will create significant value for the company as they are allowing us to accelerate the deleveraging of our balance sheet and to focus on our growth markets.  Despite lower volume and printing, we generated strong cash flows, that we use to strengthen our balance sheets. Going forward, we expect to continue generate significant cash flow from our operating activity, which will be used to reduce our debt and continue our transformation with targeted acquisitions. In our packaging sector going forward, we expect to see good organic growth next year. And we remain committed to continue improving our adjusted EBITDA margin.  On the print side, we will continue to proactively adjust our cost structure to volumes and trends. And we will remain confident that our print sector will remain a strong cash flow generating business for years to come.  With that, I'll turn it over to Donald. 
Donald LeCavalier : Thank you, Francois and good afternoon. As Francois mentioned, we generated record revenues and adjusted EBITDA in fiscal 2019. Excluding the $44 million gain made on the sale of our Fremont building and other items, our adjusted EBITDA increased by 3.6% to reach $476 million this year.  Looking at our segmented results, revenues for the packaging sector grew by $642 million in 2019, thanks to the acquisition of Korus. We also benefited from a $22 million positive impact from exchange rate offset by 2.4% decline in organic growth, mainly due to the our consumer and pet food segment, and a legislative change having a temporary impact on our Latin America business. The adjusted EBITDA margin grew every quarter for a full year margin of 12.8%, 90 basis points improvement versus last year as we continue to benefit from efficiency gains and acquisition synergies. Profitability was also positively impacted by lower resin prices. 18 months after the acquisition of Coveris we are ahead of our targets synergies. We are now starting to see early savings from film and plate in sourcing and we are very confident in plate, in sourcing and we are very confident to exceed our total original targets of US$20 million of cost savings.  Now for the Printing sector, if we exclude $13 million from the transitional service and rent through Hearst that positively impact 2018, organic revenues declined by around 5.5% of revenues. This decline is mainly due to the lower revenues from our retail related service as we discussed in previous quarters. Despite the lower volume we generated an adjusted EBITDAR margin of 20.2%. Revenues in media were lower than last year following the sale of asset, in-line with our strategy but profitability remains solid. Corporate expense for the full year were higher mainly to an increase in costs related to our growth in addition to some non-recurring positive impacts in 2018. Looking specifically at the corporate expense for the fourth quarter we have a negative volumes caused mainly by the impact of stock-based compensation expense of minus $13 million due to the share price movements. Now looking at the full year cash flow, despite the challenge in print we generated $432 million of cash flows from operating activities in fiscal 2019, up 38% from last year. And that excluded the $100 million proceeds from the sale of Fremont. Even after investing a higher than normal level of CapEx in 2019, we reduced our net debt by $250 million.  In addition we distributed $76 million in dividends to shareholders which gave a dividend yield of almost 7% at yesterday's share price. As of October 27, 2019 our net debt ratio stood at 2.5 times. If we factor the proceeds of the sale of our paper operation, this ratio will be around 2 times. This will provide us with flexibility in terms of capital allocation.  Before going into our outlook for 2020, let me say a few words about the application of IFRS 16. This change in accounting standard will bring mostly on the balance sheet, therefore increasing assets and liabilities. In our first quarter of 2020, we expect increase in liabilities of above $130 million and an asset for around $110 million with a net impact recorded in operating retain earnings.  In addition we also expect a positive impact in EBITDA of about $40 million in 2020 that should be mostly offset by higher amortization of about $15 million and higher interest of about $4 million. Please note that actual results from the initial application of IFRS 16 may differ as we continue to finalize the calculation. Now looking at 2020, excluding the impact of the sale of our paper operation, which we expect revenues in the packaging sector to grow modestly in 2020. We also expect to see this organic growth more in the second half of the year, as we still -- as we are still impact by a legislative change in our Latin America business. We expect our EBITDA margin to continue to improve as we remained focused on synergies and manufacturing efficiency.  Since margin in the first quarter could be impact by higher resin price, we expect the margin improvement to accelerate in the second half of the year with the recovery of our Latin America business. I'd like to also highlight that the increase in profitability will be on top of the accretion of margins following the sale of our paper operations. In our printing sector, we should see a continuation of current trends in most of our verticals, but to a lesser extent for our retailer related services. We also continue to anticipate growth in our in-store marketing products and book printing verticals. The sale of the Fremont building also means that we will no longer receive revenues and EBITDA of aboutCAD1 million per quarter. Many of the measures we announced in 2019 will help profitability in 2020 and in addition to a new ones that we will put in place to reduce our costs.  For the other segment we expect corporate costs at the EBITDA level and excluding stock price movement to be around CAD30 million. For Media, excluding the impact of the sale of the specialty assets we expect continued good performance in terms of revenues and profitability in 2020 but it will not be sufficient to offset corporate costs.  Following reduction in our debt we expect our financial expense to decrease even after including the impact of IFRS 16 to around CAB55 million in 2020. Our effective tax rate should be in the mid-20s range. In terms of use of cash for the year you can assume CapEx coming down to a more normal level slightly below CAD100 million. As for cash tax for the year you can assume around CAD60 million. In terms of capital allocation we expect to use a significant cash flows from our operating activities to reduce our net debt distribute a strong dividend and continue our transformation with targeted acquisitions. To conclude, our financial position is solid and our priorities clear, to continue generating significant cash flows and to deliver profitable long-term growth.  On that note we will now proceed with the question period. 
Operator: [Operator Instructions] Your first question comes from the line of Adam Shine of National Bank. Please go ahead. Your line is open. 
Adam Shine: Okay, thank you. I will start with packaging and then maybe one or two after on printing. But just starting with packaging, you've been pretty clear that there might be a bit more of a recovery in the second half and that's where maybe more of a margin lift occurs as well. But most of that seems to be focused around agriculture and that whole European regulation dynamic, maybe Francois, you can speak a bit more specifically to the fact that consumer impact seems to be seeing a bit of an easing of pressure in some maybe resuscitation [ph] and other vertical that perhaps allow some degree of traction and how exactly pacing might occur as we get through fiscal 2020? 
Francois Olivier: Yeah, I think the margin improvement in packaging in Q4 is driven by a few factor. First of all our synergies are going to be bigger than what we had planned for both this year and next year so that does help margins. Also early in the quarter resin price was down, so we've benefited from that for a half or two-third of the quarters. So resin price decrease did help the margin.  And we had some verticals that were pretty strong in terms of their performance in Q4 and these vertical are -- tend to be the one that are above average. For next year, well obviously we cannot predict the resin price, so that is a wildcard that doesn't tend to have an impact both on organic growth and in profitability. I already mentioned in terms of synergy we think we're going to have similar amount of synergies in terms of dollar and it's going to be a similar beat we think last year to our plan.  And as far as organic growth that we see in the various vertical you mentioned LATAM, yes we feel we're going to probably picked up in Q2 with very strong organic growth there as some countries have already started to approve our new product that would fit with the new European legislation. So at the end of Q1 and starting in Q2 we should start to ramp up country-by-country. So that should help, but we're looking for organic growth between 1% 1.5% next year globally on the portfolio.
Adam Shine: I'm sorry. Say that again. 1% to 1.5%? 
Francois Olivier: Yeah.
Adam Shine: Okay, and then just turning to printing, obviously, the flyer dynamic was something that was a focal point in fiscal 2019. And I just want to build a little bit on what transpired in the Q4, because in as much as there was a, let's call it a lesser decline in volume versus the Q2, Q3. I thought there was in anticipation that perhaps other customers albeit smaller, might have explored other measures to reduce some of the revenues. And so I want to, extrapolate that into the commentary going into fiscal 2020, where the impression is that it's not as though things necessarily get worse from your perspective. In fact, maybe there's some relative improvement in trend year-over-year.
Francois Olivier: Yeah, what I can say about this, is this year we were impacted by up by three large customer that cut on mainly on their page count and one of them on their circulation. What I can see is the three of them felt that, that -- and their and their business and their sales and their same store sales, and I believe I don't believe that any of those guys are going to go lower than they went this year. I think actually one of them prints two flyer every week. So it's actually going to go up. So I believe that they are in a zone that they want to be. And we don't expect further decrease from these three customers that created the issue with this year.  As far as the other group of customer, we think the medium is still very strong, and those who have played with that in the past have suffered a consequence on their businesses. And so we feel that going into next year, we have a much easier comfortable. And we don't see large user fires doing the kind of reduction in page count and circulation that the three customers that we suffered from a bit in '19. And on top of this, we obviously are going to enter 2020 with a much lower cost structure in our print center.
Adam Shine: Maybe this has a nuance there than Francois, as a result of what you're saying. Does that then preclude what may otherwise have resulted in conversations with flyer customers in regards to price adjustments based on reduced volume or is that maybe a dialog that needs to occur at a later date.
Francois Olivier: Each contract is different. Some contract, we're already protected some we are less protective. But obviously, these discussions happen when we renegotiate our contractual agreement. And as you're much aware Adam, we did a good job, I think of spreading out maturity. So we have a couple of those discussion every year. And obviously when that, when that happened, we will be looking to make sure that the contract takes into consideration the nature that our business is fixed in costs in nature and the volume starts to go down rapidly, that both DC needs to be protected.
Adam Shine: Okay, great. I'll leave it there. Thank you. 
Francois Olivier: Thanks.
Operator: Your next question comes from Mark Neville with Scotiabank. Please go ahead.
Mark Neville : Hey, good afternoon, maybe just first in the packaging, and I appreciate the comments around a stronger second half. But sort of just looking at the margin profile this business over the last year, is there any sort of seasonality typically, to the margin of this business or sort of like the 13.5% to 14%, where we're at now sort of a good baseline to grow from sort of going forward?
Francois Olivier: I would not call it cyclicality, like in printing we know that the spring and the fall are usually very strong quarter. And you have a clear demarcation between Q4 and the other quarter in print. And packaging is not this weak [ph]. We're packing food. And the variation will happen and it could happen based on a couple of things promotion and the food that the retailer wants to do with the food manufacturer that our customers. How they manage their supply chain, their inventory.  Sometime the customer make some mistakes. They order too much or they order not enough and then in a quarter they reorder a lot or they don't reorder at all because they realize they have too much. So we are living through some cyclicality but it's not -- what I'm trying to see, it's not a built-in where it's predictable like in print. So it's a little bit more unpredictable. When there's large movement of resin that are announced ahead of time some customer tend to try to order more and then they go quiet. So we are incurring some cyclicality but it's very hard to predict when that happened. 
Mark Neville : Okay. Maybe just -- I guess on the print and Publisac, can you just maybe just help us sort of frame or putting in context the size of that business for yourself? And also maybe just, just from your sort of just general timelines or sort of what we can expect or we just sort of waiting on an announcement from the City at this point. Just sort of again just help us understand where we go from here or what happens in between? 
Francois Olivier: Yeah, the distribution business for us in Quebec is about a CAD130 million of revenue. And that's kind of the size of the business. And what City did is a group of City Councilor who made a recommendation to City, we're very hopeful that studio will acknowledge that these recommendation in our not too practical. It's pretty much unclear on how much time they could take to answer to these recommendation. And so but obviously we'll be in contact with the cities to see how much time they are planning to take and more specifically what they intend to do with those recommendation that we feel are not practical. So, the timeframe is not to clear. 
Mark Neville: Okay. Maybe just one last one. And just on the balance sheet, I guess in M&A the target was I think two times, by the end of Q1 it should be roughly there. I guess just sort of as we move forward and you do more M&A, can you just talk about sort of where you sort of anticipate sort of the range of leverage that you sort of anticipate keeping on the balance sheet?
Donald LeCavalier: Yes. As you know the print business generate a lot of free cash flow. So by the time next year-end, we will be more around the 1.61, 1.7 times. So obviously we have the room to continue to do M&A and we have a bigger portfolio now. So bigger opportunities which means we can look at more verticals. We are more diversified. Obviously we will have more synergies going forward. Having said that we have a size now that enable us to be a little bit more selective on acquisition that we want to do. But obviously M&A is a big part of our playbook and packaging in the years to come. And I would even add in some vertical and printing. You've seen us acquiring in POP. And we're still looking and we have some vertical in printing, we think could be very accretive, because we tend to buy at a good multiple and we tend to have a very high level of synergies in the print sector. So we have identified some sector POP book in print, where we feel we can both grow first of all organically, but maybe even through acquisitions.  So yes, the acquisition are going to be a part of our playbook, but we want to be very rigorous and make sure we buy the right assets. And we have no problem being down around 1.7, 1.6 times by the end of the year. So we will do it if it fits our profile and if it fits our strategy. If not we've built enough scale now in packaging to have -- our organic growth could mean some profit improvement that are meaningful for the company.
Mark Neville: Understood. Okay. I'll turn it over to someone else. Thanks.
Francois Olivier: Thanks.
Operator: Your next question will come from the line of David McFadgen, Cormark Securities. Please go ahead.
David McFadgen: Yes. Hi. Thanks. A couple of questions. So first of all just start off with a clarification. Francois, you talked about growth for the overall packaging business for 2020 about 1% to 1.5%. If my memory serves me correctly, I think that's probably a little more bullish than you've been in the past and your guarded in year two it maybe get hopefully 1% out of Coveris so to get that things must be going I guess fairly well at Coveris, I was wondering if you can provide a little clarity on that what's going particularly well, to give you that level of optimism. 
Francois Olivier: Yeah, I think we finished the year very strong because if you look at the sales that we knew was already gone to hit us in Q4, which is the LATAM situation and the Pet Food situation and we did better. And we think that like Donald said in his prepared remarks maybe you will see less organic growth in Q1 and in Q2, but we feel that Q3, Q4 I mentioned already that LATAM should give us a good push towards the backend of the year and we have other some other vertical where we feel we have the ability to win some business and in this business raw material has a big impact.  So we when we look at the raw organic growth we will need to tell you what is the impact of the resin because 1.5% could disappear or become 3% depending on where the resin price is going. So when I say 1% to 1.5% it's net of the impact of resin. And we think we could accomplish that with the portfolio we have and remember that we’ve sold the paper business and then the paper business was not a growth business for us.  So now we have something out of our portfolio that we were not positioned like food to grow that business in 2020 and this business is going to be out of our portfolio by the end of Q1. So that should help the organic growth number as well. 
David McFadgen: Okay, and can you tell us at the end of Q4, 2019 what's the annualized run rate of synergies that you've achieved so far with Coveris?
Francois Olivier: About in U.S. dollars it's about $12 million. 
David McFadgen: $12 million, okay. And you expect to still exceed the 20 million number, correct?
Francois Olivier: Yeah, very confident. 
David McFadgen: Yeah, by what timeframe would you hit that number on an annualized range?
Francois Olivier: We expect that by midyear this 2020 we should be at this run rate and achieve above this run rate. 
David McFadgen: Okay. Can you give us any idea, how much about you might achieve it, 5 million, 10 million.
Francois Olivier: Well see we’re above, and we see above it's slightly above. We're confident that we will beat the US$20 million. Let’s put it this way. There's things to consider that will move over the year but we are very confident to be above the $20 million. 
David McFadgen: Okay. And you talked about CAD30 million of corporate costs in 2020. Can you tell us about the corporate costs were in 2019?
Francois Olivier: Roughly the same, I’ll say, going up, but roughly the same but we need to exclude the fact of the share price this year, [indiscernible] up the share price. So it's not like we have the year-over-year an increase. Most of the difference [ph] will come to their share price. So that's the way to look at it. 
David McFadgen: Okay, but the corporate costs in 2019 are about CAD30 million, correct? 
Francois Olivier: Yeah. 
David McFadgen: Yeah.  No, you would not, what I am saying is that corporate costs don’t increased versus this year other than the fact that the share movement but the corporate costs last year were in 2019 was CAD22 million, sorry. 
David McFadgen: And the 22…
Francois Olivier: Million. 
David McFadgen: Okay, anyway maybe I’ll take that offline. And then the CapEx you gave a number of CAD100 million does that include the spending on intangibles. 
Francois Olivier: Yeah. 
David McFadgen: Okay. And then can you tell us what growth rate is organically of Holland and Crosby. That acquisition you recently announced. 
Francois Olivier: It's very it's 20 something million of revenue but what I can tell you is that it's a product extension for us. We are more active in net promotional POP printing. We are more active in the permanent signage business and installation of permanent signage. So obviously we have some cost synergies as we going to move, work around our platform. But there's obviously a lot of selling synergies. So the customer roster of Transcontinental which was about CAD75 million we didn't sell a lot of permanent signage to these guys. And the customer roster of Holland & Crosby was not selling a lot of promotional POPs.  So now we're very active, visiting both companies' customer and offering the complete package. And we're looking to -- there's three areas in POP, there's promotional printing, point of purchase printing, there's permanent signage, and there's display and décor. And we're looking to have the whole portfolio of products to cross-sell that to all the customers they have and that we have. 
David McFadgen: Okay, all right, thank you.
Operator: [Operator Instructions] Next question will come from a line of Drew McReynolds of RBC. Please go ahead. 
Drew McReynolds: Thanks very much. Good afternoon. First question, maybe for you, Donald on -- following the divestiture within the media segment, just for modeling purposes, can you just remind us what the run rate revenue base is roughly? And what that margin profile looks like for the residual business?
Donald LeCavalier: I'm sorry, I miss following -- you mean the paper business?
Drew McReynolds: Within the media segment? Yeah, as you divested recently, some of those assets just -- it used to be CAD100 million segment with the kind of 20% to 25% EBITDA margin. Just wondering what it looks like now.
Donald LeCavalier: The business we are now we're about CAD70 million of run rates remaining in media. And I would say that the EBITDA margin of the remaining business was higher than the average business. So we can model higher margin than while we had with the business that we sold.
Drew McReynolds: Okay, super. On the Coveris synergies, interesting that they'll see a good chunk of that to come. Also on the printing side, lot of moving parts with the two presses coming online and as well as broader consolidation printing platform. Where are you in terms of the run rate, kind of savings in that whole kind of bucket of efficiency here. 
Francois Olivier: Even in Q4, first month of the quarter was different than the last month. I would say in the last month and October, maybe in terms of the things you described in the press, the closure of Brampton, we were maybe 75% there. By the end of December for those particular activity we will be 100% there. Then we will close the one in P.E.I. at the end of January. So that will hit Q2. And then we have a big program to adjust our indirect cost structures that will be executed in January. So you should have a much lower fixed costs and direct fixed cost structure starting at Q2. So the biggest chunk of all this is the closure of Brampton. And that will be realized by that by the end of December this year. But after that some other activities are going to be added every quarter. So you could say for the first two quarter of 2020, we will put more and more cost saving in place. And you should be at the true run rate of the new cost structure in Q3 and Q4 in the print sector. That would be my guess.
Drew McReynolds: Very helpful, Francois. Thanks for that. Two final ones. On the Holland & Crosby I know there's some disclosure in your financials on acquisition contribution. Just specifically on the Holland & Crosby one, what is the annual revenue amount that we should model?
Francois Olivier: If I recall correctly, it's around CAD21 million that we acquire. Obviously we're going to try to improve that rapidly. But it's on the revenue side you need to give us two three quarters to have a substantial impact on the revenue where you would see us having a more immediate impact is on the margin than on the EBITDA, because we going to quickly put the right business in the right plant and work to be as efficient as possible working together, and Holland & Crosby add some capabilities that we didn't have.  So we're going to send volume their way and usually that tend to convert at a very high rate. And the other way around is too there's some stuff that we were better equipped to do. So we’re going to move volume in the right companies and that would have a significant -- a great impact on the EBITDA.  So first we will hit the profitability through efficiency and costs and then again going towards Q3 and Q4 we should start to have additional revenue both at Holland & Crosby and our facility [ph], and our businesses was already growing at around 14% to 15% organically. So that should improve those numbers by having acquired Holland & Crosby.
Donald LeCavalier: And Drew in [indiscernible] this business was in terms of margin lower than the average margin of print. But since we're growing in that business with the synergies margin even in our own business right now is growing. So we're not at the level of the print sector right now but we will be increasing the margin year-over-year. So that's very encouraging for us. And we start to have scale. We're a $100 million in that space right now. And we feel that we still have a lot of room to grow, probably, for sure organically. But probably still through acquisition through product diversification, to have a stronger portfolio. And as we get scale it's easier to sell and it's easier to lower your costs.
Drew McReynolds: Okay all very helpful. Last one than for me, on the CapEx for fiscal 2020 you talk about a more normal run rate just below a CAD100 million. When you acquired Coveris I recall that being kind of closer to CAD80 million, CAD85 million. Of course you had a special project in fiscal 2019. Is the difference here more of the R&D in that kind of type of investment that you're kind of assuming is recurring going forward or am I missing something in my numbers. 
Francois Olivier: You're exactly right. Last year we probably spend an extra CAD15 million or CAD20 million in blown line and then plate and sourcing. So that's why we still have significant synergies to come in 2020. It's related to the investment we've made in 2019 in blown line, extrusion blown line and then plate and sourcing. So that's why our CapEx in 2020 are going to be lower because we're not doing this, and that's why we're going to enjoy some second wave of synergies as we have started one of those line in October and one in late November.  So they will start to generate some synergies for us throughout the year as we bring some of the film that we buy outside and internally. So that's the reason and you are right.  In terms of R&D and our sustainability effort, we have -- they've voted more money both through CapEx and additional expense that goes to the P&L to make sure that we prepare the product of the future and meet our commitment that we've made towards sustainability and help our customer meets to our goal. So little bit more little less on equipment, little bit more CapEx on sustainability. But all-in-all it's a decrease of about CAD15 million to CAD20 million to last year. 
Donald LeCavalier: And also Drew in printing, last year, part of the increase was that we had some the projects in the first, back on the West Coast and there was some change for the year at Brampton. We had to move equipment but also this year we were more close to normal but we still see some opportunity on the printing side. Francois didn't we talk about the in-store marketing, on the bookings side. This business has been growing for few quarters in a row for us and we have good forecast of that side. We may have to increase some of the capacity so that’s part also the program this year. So we still have room for new capacity CapEx on the printing side. 
Drew McReynolds: Okay, thanks very much for all that. That’s helpful.
Operator: There are no further questions at this time. Please continue. 
Francois Olivier: Thank you everyone for joining us on the call and we look forward to speaking with you shortly. 
Operator: [Foreign Language].